Operator: Greetings, and welcome to the Inter Parfums' First Quarter 2017 Conference and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Russell Greenberg, Executive Vice President and Chief Financial Officer for Inter Parfums. Thank you, Mr. Greenberg. You may begin.
Russell Greenberg: Thank you, operator. Good morning and welcome to our 2017 first quarter conference call. As usual, I will begin the call with a financial overview. And then, Jean Madar, our Chairman and CEO, will discuss current business, recent developments and upcoming plans. After that, we will take your questions. Before proceeding further, I want to remind listeners that this conference call may contain forward-looking statements, which involve known and unknown risks, uncertainties, and other factors that may cause actual results to be materially different from projected results. These factors include but are not limited to the risks and uncertainties discussed under the headings Forward-Looking Statements and Risk Factors in our annual report on Form 10-K and the reports we file from time-to-time with the Securities and Exchange Commission. We do not intend to, and undertake no duty, to update the information discussed. In addition, Regulation G, which is codifications for the use of non-GAAP financial measures, prescribes the condition for use of non-GAAP financial information in public disclosures. We believe that the presentation of the non-GAAP financial information included in this discussion is an important supplemental measure of operating performance for investors. The information required to be disclosed for the presentation of non-GAAP financial measures is disclosed in our March 31, 2017 quarterly report on Form 10-Q, which has been filed with the Securities and Exchange Commission. This information is available on our website at www.interparfumsinc.com. When we refer to European-based operations, we primarily talking about sales of prestige fragrance products conducted through our 73%-owned French subsidiary, Interparfums SA. When we discuss our United States-based operations, we are primarily referring to the sales of prestige fragrance products conducted through our wholly owned domestic subsidiaries. Moving on to comparable first quarter results, net sales were $143.1 million, up 28.3% from $111.5 million. At comparable foreign currency exchange rates, net sales increased 30.6%. Sales by European based operations rose 29.9% to $119.7 million from $92.1 million. Sales by U.S. based operations increased 20.4% to $23.4 million, compared to $19.4 million. Gross margin was 63% of net sales, compared to 63.9%. And SG&A expenses as a percentage of net sales was 44.7%, compared to last year's 48.3%. Operating income was $26.2 million, up 49.3%, compared to $17.5 million. Operating margin was 18.3% compared to 15.7%; and, net income attributable to Inter Parfums, Inc. was $13.4 million or $0.43 per diluted share compared to $7.3 million or $0.24 per diluted share. As previously reported, net income attributable to Inter Parfums, Inc. in the 2016 first quarter included a non-recurring settlement of $1.9 million tax assessment with the French tax authorities. Excluding the effect of the settlement, 2016 first quarter net income attributable to Inter Parfums, Inc. was $8.7 million or $0.28 per diluted share. We covered key sales drivers in our releases, so I will concentrate this discussion on profitability factors. For European operations, gross profit margin was 65.5% and 67.3% in the first quarters of 2017 and 2016 respectively. The overall decrease in gross margin is a result of product mix and increased cost relating to purchase with purchase and gift with purchase promotions. For European operations, such promotions aggregated $9.4 million and $6.8 million for the three months ended March 31, 2017 and 2016, and represented 7.8% and 7.4% of net sales respectively. I should also point out that the average dollar/euro exchange rate for the three months ended March 31, 2017 was $1.06 as compared to $1.10 for the 2016 period, which added approximately $1.3 million to gross margin, but that was offset by approximately $1.4 million of inventory sold to the Balmain brand at cost in connection with the license buyout. For U.S. operations, gross profit margin was 50.1% and 48.2% in the first quarters of 2017 and 2016 respectively, with margin expansion primarily due to increased sales of higher margin prestige products under license. SG&A expenses increased 19% and represented 44.7% of net sales for the first quarter of 2017, as compared to 48.3% in the first quarter of last year. For European operations, SG&A rose 18% and for U.S. operations SG&A rose 20%. Promotion and advertising included in SG&A aggregated approximately $22.9 million or 16% of net sales for the 2017 first quarter, and that compares to $16.1 million or 14.5% of net sales for the same period one year earlier. The increase related to the new product launches and rollouts in the current first quarter. Operating income rose 49% and our operating margin in the current first quarter was 18.3% compared to last year's 15.7%. We closed the quarter with working capital of $344 million including approximately $226 million in cash, cash equivalents and short-term investments, and $70.2 million of long-term debt including current maturities, which was incurred in connection with the 2015 Rochas brand acquisition. Finally, assuming the dollar remains at current levels. We expect 2017 net sales to be in the $550 million and $560 million range. And net income attributable to Inter Parfums, Inc. to be between $1.20 to $1.24 per diluted share. Jean, please continue.
Jean Madar: Thank you, Russ, and good morning, everyone. As we have already said, this was an exceptional quarter that holds true for sales by geographic markets. Our two largest markets, Western Europe and North America, both achieved 22% year-over-year sales growth, while our third largest, Asia, grew sales by 31%. Even our smaller markets, the Middle East, Central and South America, and Eastern Europe had comparable quarter sales growth specifically 43%, 13% and more than 100% respectively. One thing we know firsthand is that our commitment to maintaining or perhaps gaining market share for advertising and promotion in two difficult markets of 2016, mainly China and Russia, has paid off very well this year. For the remainder of the year, our launch plans include the third Legend pillar for Montblanc, called Legend Night that will debut at the end of this year and rollout further in 2018. We've got a first Coach scent for men debuting also in the fall. And as I pointed out on our last conference call, we are repositioning our Lagerfeld fragrance enterprise to be more accessible, more democratic and affordable, starting with a new fragrance duo this year. For Lanvin, we are readying a new interpretation of our top selling Eclat d'Arpege, I will also give you a peek into 2018 plans, which includes our first new men's scent for Rochas along with extension for Jimmy Choo Illicit, Eclat d'Arpege and Coach for women. Moving onto the U.S. operations, Abercrombie & Fitch and Hollister fragrances have been and are expected to continue to be the growth catalyst in 2017 and also in 2018. In March, our women's edition of Abercrombie & Fitch, First Instinct debuted exclusively at Worldwide [ph] Duty Free in the UK and the international rollout is now underway. Hollister Wave 2 launched this spring and is now in broad geographic distribution. We also have a new Dunhill fragrance called Icon Racing launching later this year. And for Oscar de la Rent, the new fragrance called Bella Blanca will hit the market very later this year and early next year. We also have several new products planned for our other niche brands including Agent Provocateur and bebe. With turnaround in Asia for Anna Sui, especially in China, we have a new fragrance called Fantasia [ph] that will debut later this year, and will target China as well as the greater Asian market. Before taking your questions, I'd like to share some of our thoughts about our industry and our place within it. If you Google, fragrance launches of 2016, you will find 1,685 new entries coming up on one website. I know there is a lot of hype around new fragrance launch, but in our experience new is good, but longevity is much better. Recurring sales of fragrance that are on the market for years, achieved significant returns for us. And we have a number of these successes in our portfolio. We will continue to fortify these fragrance gems with brand extension and flankers as well as new packaging and inspired promotion. We saw a recent report indicating that the global fragrance industry was valued at approximately $46 billion in 2016. While the industry's five year compound annual growth rate contracted 1.3%. During that timeframe, our net sales compounded annual growth rate was 11%. I think that says something about our ability to buck trends, and market share, and grow our company. We look to the remainder of the year with confidence in knowing we have a rich and diverse portfolio of brand. We have the financial strength to partner with acquire or license additional brands. We have an effective distribution network reaching more than 100 countries. And in several of the most important markets, we own or control the distribution organizations. And of course, we have a great talent and resource reservoir. Now operator, you can open the lines for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Joe Altobello of Raymond James. Please proceed with your question.
Joseph Altobello: Thank you. Good morning, guys.
Jean Madar: Hi, Joe.
Joseph Altobello: First question, I guess, just curious, obviously a strong start to the year, how does the first quarter compare to what you guys were expecting internally, since you didn't update your guidance?
Russell Greenberg: I'm sorry. Can you just repeat that for a second? I didn't hear the end of your...
Joseph Altobello: Yes, I was just curious how the first quarter compare to your internal expectations coming into the year?
Russell Greenberg: Overall, I think that the first quarter was pretty much in line from a sales standpoint. There were a couple of brands that did a little bit better. But knowing what our launch schedule was, the first quarter was actually probably the easiest comparison if you look back to what we've done in the first quarter of 2016. So from an overall standpoint, it's pretty much in line with what we expected.
Joseph Altobello: Okay. You also mentioned that, you're saying improved trends in Russia and China. How much of that is the market improvement? How much of that is increased spending on the part of Inter Parfums?
Jean Madar: I think we have a conjunction of both. You remember, that for the last, I will say at least 24 months the Chinese market for fragrance was depressed. But we have continued to invest in promotion and in keeping our shelf space. And when I see the comeback from the market in the first quarter and continuing into second quarter, and we have also a better idea for this going to happen for the year, we are very - how should I say, relieved regarding our business in China. Russia, I will say is similar. We have decided to continue to spend heavily in Russia. We'll do some TV campaigns as early as August or September. So it's a - I will say that the environment is much better and our business is quite good.
Joseph Altobello: Okay, great. Just one last question. And I apologize, if I missed this. The coming of the launch of Legend Night, is it late this year or early next year?
Jean Madar: We will ship Legend Night in the fourth quarter of this year. We will ship Coach for men in the third quarter of this year. This is the plan we have.
Joseph Altobello: Okay, great. Thank you, guys.
Jean Madar: Thank you.
Operator: Our next question comes from Frank Camma with Sidoti & Company. Please proceed with your question.
Frank Camma: Good morning, guys.
Jean Madar: Good morning.
Frank Camma: A question I have on Coach. I mean, you've gotten off to a good start, but it seems to me, and maybe I'm biased because I'm a U.S. consumer, but I mean it seems to me to be one of your best recognized brands, at least U.S.-based. Is there anything that would stop you from maybe pushing advertising spend, maybe a little harder to ramp up sales there, just kind of curious on where that can go over time?
Jean Madar: The budget, our advertising budget for Coach is very, very high comparing to sales. You do - maybe you don't see - we are spending in the U.S., but don't forget we're also spending in other market where the brand is maybe less strong. We're spending in Europe and we are also spending in Asia, where the brand has great recognition. But as a percentage of sales, I can tell you that the amount of advertising and marketing that we are spending on Coach is quite high.
Frank Camma: Okay. My second question is for Russ. Russ, you called out a number of factors for the gross margin. But the one that stuck out to me is the - you mentioned in the press release and what you mentioned about the purchase, the gift purchases. I don't remember you calling that out before in the first quarter at least. I mean, that's typically like a 3Q thing, right? Can you just explain why that was particularly, because it wasn't really a dramatic change as a percentage of sales, like why that had an impact on the quarter?
Russell Greenberg: You're right. Normally, when we talk about purchase with purchase, and gift with purchases, we talk about during the holiday season or certainly during the third quarter because that's where a significant amount of that spending takes place. But we do have programs that we do throughout the year. And because of some of the launches that we've had, there was more of it in the first quarter this year than we had in prior years, and I just wanted to point that out as one of the reasons for the small decline in margin. The margin decline in the European operations was relatively small, especially when you take into account this [$4 million] [ph] of the Balmain brand at cost.
Frank Camma: Right, right.
Russell Greenberg: So I was really just looking for reasons to explain why the margin declined a little bit in a period where your dollar gained a little bit of strength, because one might have thought it should have gone the other way. So I was really kind of drawing at things to explain.
Frank Camma: Okay. I understood. Okay. Just to kind of clarify, like, we should still expect there should - you would have your typical seasonal pattern with gift sets in 3Q, I would assume, I mean barring anything unusual.
Russell Greenberg: That's correct. Your gift sets are a little bit different than your purchase with purchase, and gift with purchase kind of promotions.
Frank Camma: I got you. Okay. Thank you.
Russell Greenberg: No problem, Frank.
Operator: Our next question comes from Jason Gere of KeyBanc Capital Markets. Please proceed with your question.
Jason Gere: Thanks. Good morning. I guess, I want to go back to the EPS guidance. And I know that it's early in the season, but not changing after what seemed to be a nice beat, does imply that the rest of the year that earnings would be down year-over-year. So I guess, if I dissect that a little bit, I guess I'm trying to understand is your A&P expense beyond the 20% that I think you guys talked about. Do you not see SG&A - or is SG&A going to go higher, are there other like investments in capabilities like e-commerce or things like that that you need to do. So again I understand why you didn't raise guidance after this quarter. But I guess, I'm trying to understand and peel back the layers of the onion to look at should we expect earnings to be down year-over-year for the rest of the year based on what the guidance implies?
Russell Greenberg: Well, if I'm correct, and I could be wrong, the guidance implies somewhere either plus or minus 1% depending upon which part of the range that you're in as far as the earnings guidance. But I think it's more difficult than that. What drives the earnings is really your sales volume, all right. And this is where we really need to be a little bit conservative as we move into Q2, Q3, and Q4. We are comparing ourselves to significant growth that we saw in Q2 and Q3 and Q4 of 2016. To give you an example, European operations in Q2 of 2016 grew 15%. The U.S. operations were up 15%. In Q3, Europe was 12%, U.S. was 19%, all right. In Q4, Europe was 13% and the U.S. was 17%. This was all driven by major launches of Coach, of Rochas, of Abercrombie and Hollister. These are creating very, very difficult comparisons. Now we are hopeful that we will continue to show growth in the sales line. But going into these periods, we really need to be very, very conservative, because these are very difficult comparisons to deal with. So far - I mean don't get me wrong. April looks really good. The sales are a little bit better that we originally expected. But I can extrapolate that to the rest of the year - or we can't extrapolate that to the rest of the year, not yet. We need a little bit more visibility as far as what is actually happening in the marketplace. We do have a lot of launches this year, but many of them are brand extensions and flankers. And it's going to be very difficult to compare with some of the major launches that we had last year.
Jason Gere: And I understand that. And I guess, the question is in the first quarter, what percentage of all new innovation came out in the first quarter versus the whole year. So did we see 30% or 40% of all the new launches come out in the first or is it going to - I know you talked a little bit about Coach in the third quarter and Legend I think in the fourth quarter, but I was just…
Russell Greenberg: Jason, the point that you're missing is, the first quarter of 2017, when you compare it to first quarter of 2016, for U.S. operations for example, we did not have any sales of Abercrombie and Hollister in Q1 of 2016, all right? And in Q2 - in Q1 2017, you have significant sales, all right? Same thing with Coach, Coach was launched in the second quarter - I'm sorry, in the third quarter of 2016. So for European operations you had zero sales of Coach product in Q1 of 2016. That's what made the comparison so much easier for Q1 and it makes it much more difficult for Q2, Q3 and Q4 or as the year goes on.
Jason Gere: That's fair. Okay. So the sales side I get. So then in terms from an EPS, and obviously the sales drives the leverage, obviously we saw it in the first quarter, are you still thinking about 20% or are you thinking about spending on A&P, maybe a little bit more on the digital side? Just wondering, if you could kind of parcel out little bit some of the margin factors that kind of play into the EPS guidance?
Russell Greenberg: Yes, I think we said it at the end of the first quarter that on a full-year basis, we expect A&P to be somewhere around 20%. If you remember last year, I thought it would be 21%. We came in at 20%. I think that 20% overall is probably a very reasonable number.
Jason Gere: Okay. And then the other question, anything just on the e-commerce side? I know obviously in beauty, there is a lot of talk about the U.S. department stores. And the good news is that you guys have - I think your exposure is probably less than many out there. So can you maybe talk about how you guys are looking at alternative channels to maybe offset some of what I think are just headwinds for a lot of manufacturers who sell into the U.S. department store channel?
Jean Madar: Russ, you want to…
Russell Greenberg: Yes, I can. Yes, of course, the trend is always there that is less traffic in the U.S. department stores. And it's somewhat being replaced by companies like Ulta and Sephora. E-commerce is a very interesting market. And I think we've talked about it briefly in the past. This is something that we are very much looking into and looking to see how e-commerce can be used effectively within our organization. That we do have some things that are planned, but I'm not prepared really to go into too much detail on that at the present time. But clearly, I think that e-commerce is definitely something that is clearly the trend of the day if you will or the trend of at least this decade. So we'd be remiss if we weren't looking into opportunities that could utilize social media and e-commerce.
Jason Gere: Okay. I appreciate. Thanks for answering all my questions.
Russell Greenberg: No problem.
Jean Madar: Thank you.
Operator: [Operator Instructions] Our next question comes from Linda Bolton Weiser of D.A. Davidson. Please proceed with your question.
Linda Bolton Weiser: Thanks. Hi. So can you just comment on sort of the M&A environment in the fragrance area. Coty has closed its deal with Procter & Gamble Beauty and seems to be starting to accelerate maybe some of its portfolio review. Are you actively looking at potential deals and how are you thinking about your balance sheet cash? I mean, you've had the high cash balance for several years and sometimes new licenses don't require a cash, upfront. So how are you thinking about what you may do with that cash balance here now that it's been kind of here for quite a few years?
Jean Madar: I'm going to try to answer that. So it's public information that Coty wants to divest some brands. But I will not make any more comments on that. We are always looking, with the cash that we have in our balance sheet, we are of course looking for acquiring names or licensing names. So I will say that the M&A environment is a little bit more open due to this Coty proposed divestiture. But we get offers. We get offers from brands on - not on a daily basis, but on a weekly or monthly basis. And again, in order to keep the portfolio very, very strong, we are very selective. So we need to get - we are okay with a smaller brand. If we see the potential, we have the possibility to grow without increasing our G&A. So for us this is - we spend a lot and lot of time looking at possibility to grow like that. Russ, you want to add something?
Russell Greenberg: Yes, the only thing I would add is that, Linda, you're a 100% correct. Many times on new licenses, if there is not existing distribution then typically the upfront payments would be almost nothing. But if you are looking to make an acquisition of an existing brand that has existing distribution that may - maybe it is with Coty or some other licensee at the current time. They're based upon, or depending on the size of the business, the number of years remaining on the license, it could require a sizeable upfront payment if you will. We are still committed that we know that the most accreted use of our cash is if we can put it to use in buying opportunities that can add to our portfolio. And we continue to search out and be opportunistic to the extent that we can. As Jean said, that there was a lot of deals. Go ahead, Jean.
Jean Madar: Yes, I would like to add that I'm very comfortable having $250 million or close to $250 million cash in the bank, not because we'll be happy to have it. And when we decide to make an acquisition for a large one, for $500 million or even more, so this will put us in a different category without any stress. We are looking at medium size business, but we could also integrate larger size business, so that's why I think it's very important keep this cash in our balance sheet.
Linda Bolton Weiser: Okay. And then…
Jean Madar: Okay, Linda.
Linda Bolton Weiser: Yes, can I ask you about the Jimmy Choo? I think Jimmy Choo is in the process of being sold. Does that represent any kind of a risk to your license agreement or does that carry through under the new potential…?
Russell Greenberg: No, our license agreement would continue. If I'm not correct, Jean, I think the license agreement goes through at least 2023, 2024.
Jean Madar: Yes, so we have at least five more years with - in front of us. Jimmy Choo is doing very well. We have great relationship with the Jimmy Choo company. We showed them that we are able to do well. We started - this is a business which started from scratch. We've been doing - can we disclose the number, Russ, by brand?
Russell Greenberg: Yes, Jimmy, we did - in 2016, we did $90.4 million in Jimmy Choo sales.
Jean Madar: So it will be above a $100 million business or it's quite important. The revenue from license from Jimmy Choo are quite important and the relationship is good. So we expect to - no issues with the sale of - the potential sales of Jimmy Choo.
Linda Bolton Weiser: Okay. Thank you very much.
Russell Greenberg: Thank you, Linda.
Jean Madar: Thank you. Thank you.
Operator: Our next question comes from Hamed Khorsand of BWS Financial. Please proceed with your question.
Hamed Khorsand: Hi, good morning. So first off, is there an update as to when Coach would be released in Japan?
Jean Madar: This year for sure.
Hamed Khorsand: Okay. Is there a reason why you haven't been able to releasing it yet?
Jean Madar: It was a plan decision from the beginning. So we do not see a - you know what, Coach is very important. The brand is very important in Japan. But Japan is not a huge market for fragrance. But the U.S. is the main market today. And we are - we will be in most of the Japanese partner stores this year.
Hamed Khorsand: Okay. And then, any plans to release more multi-scents and really just take up on the trend of - with millennials as far as just buying smaller vials that have higher margin?
Jean Madar: I don't think I got that. Can you repeat it, please?
Hamed Khorsand: Yes, so there is this growing trend with millennials as far as buying smaller vials multi-scents with different scents of the brands. So they're being sold with higher margin mark-up. So is there any plans on your end to release…
Jean Madar: We have collections - we do have collections like that in most of our programs. It's definitely a trend that we are participating into.
Hamed Khorsand: Okay. All right, and then, as far as the gross margin outlook goes with EPS, just given where marketing is now, I mean, are you - the profits that you recorded this quarter, I mean, it sounds like you're just going to reinvest them at a higher rate just because this quarter was stronger. I mean, is that a good way to interpret it?
Jean Madar: Russ?
Russell Greenberg: Well, in the first quarter, if you're not dealing with a real - holiday type issues with respect to your advertising budget. As you heard before, we expect to spend somewhere around 20% for the full year. Here in the first quarter, we spent 16% of sales. And yet - and the sales represented, what is it - something like 26% of our annual sales. So clearly, the bulk of our ad spending comes later in the year, predominantly in the third quarter. So it's not a question of reinvesting the profits from the first quarter. We're constantly reinvesting money into the brands in the form of advertising. I don't think anything has changed because of the results here on this particular first quarter.
Hamed Khorsand: Okay. All right, thank you.
Russell Greenberg: Thanks, Hamed.
Jean Madar: Thank you.
Operator: There are no further questions. I would like to turn the call back over to Mr. Russell Greenberg for closing comments.
Russell Greenberg: Thank you again, operator. Just one last point, I will be presenting at the B. Riley Investor Conference on May 24 in Santa Monica. And I will also be at the Jefferies Global Consumer Conference in Nantucket on June 20. I hope to see some of you at these events. As usual, if you have any further questions, you can contact my office and please enjoy the rest of your day. Thank you for participating.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.